Operator: Good morning, ladies and gentlemen, and welcome to Cohen & Company's Fourth Quarter 2024 Earnings Call. My name is Sherry, and I will be your operator for today. Before we begin, Cohen & Company would like to remind everyone that some of the statements the company makes during this call contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that could cause the company's actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during the call are made only as of the date of this call and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements in its earnings release and its most recent annual report on Form 10-K filed with the SEC. Earlier today, Cohen & Company issued a press release announcing fourth quarter and full year 2024 financial results. Today's discussion is complementary to that press release, which is available on the company's website at cohenandcompany.com. This conference call is being recorded and a replay of it will be available for three days beginning shortly after the conclusion of this call. The company's remarks also include certain non-GAAP financial measures that management believes are meaningful when evaluating the company's performance. A reconciliation of these non-GAAP financial measures to comparable GAAP measures is provided in the company's earnings release. After the prepared remarks, the call will be opened for questions. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of Cohen & Company. Please go ahead, sir.
Lester Brafman: Thank you, Sherry, and thank you, everybody for joining us for our fourth quarter 2024 earnings call. With me on the call is Joe Pooler, our CFO. In 2024, Cohen & Company Capital Markets, our full service boutique investment bank, which we refer to as CCM, continued to grow market share as an advisor, agent, and expanding into underwriting initial public offerings. While CCM revenue was down compared to the third quarter of 2024, our actions to strengthen the business throughout the year generated full year CCM revenue of $38.9 million from nearly 50 clients and almost doubled the full year 2023 CCM revenue of $21.9 million. Despite continued elevated mortgage rates and lower levels of mortgage origination, we were able to grow our mortgage business in 2024, ending the year with a gestation repo book of $2.7 billion, up more than 30% from December 2023. We remain confident about our future earnings potential and are focused on enhancing long-term sustained value for our stockholders, including through continued payment of our quarterly dividend. Now I will turn the call over to Joe to walk through this quarter's financial highlights in more detail.
Joe Pooler: Thank you, Lester. I will begin with a discussion of our operating results for the quarter. Our net loss attributable to Cohen & Company Inc., was $2 million for the quarter, or $1.21 per fully diluted share compared to net income of $2.2 million for the prior quarter or $1.31 per fully diluted share and net income of $4.5 million for the prior year quarter or $2.97 per fully diluted share. Our adjusted pretax loss was $7.7 million for the quarter compared to adjusted pretax income of $7.7 million for the prior quarter and adjusted pretax income of $16 million for the prior year quarter. As a reminder, adjusted pretax income loss is a key earnings measurement for us as it incorporates enterprise earnings attributable to our convertible non-controlling interest, which is substantially held by our Founder and Chairman, Daniel Cohen. Daniel holds his interest in the enterprise through the primary operating subsidiary, Cohen & Company LLC, which is a consolidated subsidiary of Cohen & Company Inc. New issue and advisory revenue was $10 million in the fourth quarter, a decrease of $12.4 million from the third quarter and a decrease of $8.6 million from the year ago quarter. Our revenue earned from new issue and advisory revenue has been and we expect will continue to be volatile. We earned revenue from a limited number of engagements, a small change in the number of engagements can result in quarter-to-quarter fluctuations in the revenue recognized. The average revenue per engagement can fluctuate as well. And our revenue is generally earned when an underlying transaction closes, thus the timing of underlying transactions increases the volatility of our revenue recognition. In addition, we have received financial instruments as consideration for advisory services provided by our CCM team instead of cash at times, which investments are included in our other investments at fair value line item in the balance sheet. CCM generated a total of $61.6 million of new issue and advisory revenue during 2024, but this amount was offset by $22.6 million of negative principal transactions revenue during ‘24 related to losses on investment assets received as consideration. Net trading revenue came in at $8.9 million in the quarter, which was comparable to the third quarter and up $1.1 million from the fourth quarter of ‘23. Our asset management revenue totaled $2.1 million in the quarter, which was down slightly from the prior quarter and up slightly from the prior year quarter. Fourth quarter principle transactions and other revenue was negative $2.5 million, primarily due to mark-to-market adjustments on our principal investments related to previously received consideration by our CCM team and as well as our ongoing involvement in the SPAC market as an asset manager and investor, which has resulted in increased holdings of public equity positions in post business combination companies. Equity value of post business combination SPACs has continued to decline, leading many of the shares we received to decrease in value, negatively impacting both the equity method and the principal transactions line items in our statement of operations. We anticipate that there will continue to be volatility in our principle portfolio and therefore our operating results. As previously noted, in certain cases, we do receive investment banking consideration from clients, including the SPAC clients in the form of investment assets and those investment assets have subsequently fallen in value. Principal transactions revenue includes all gains and losses and income earned on our $33.6 million net investment portfolio. Compensation and benefits expense for the quarter was $12.9 million, which was down from both prior quarters, primarily due to fluctuations in revenue, income from equity method affiliates, net of our non-convertible non-controlling interest and the related variable incentive compensation. The number of company employees was 113 at the end of the year compared to 113 at the end of the prior quarter, and 118 at the end of the prior year. Net interest expense for the quarter was $1.5 million, including $1.16 million on our two trust preferred debt instruments, $292,000 on our senior promissory notes and $19,000 on our credit line. As a reminder, during the third quarter of '24, we restructured two-thirds or $5.1 million of our redeemable financial instrument into a promissory note and repaid one-third or $2.6 million in cash. In terms of the balance sheet, at the end of the year, total equity was $90.3 million compared to $91.8 million at the end of '23. The non-convertible non-controlling interest component of total equity was at $11.5 million at the end of the year compared to $9.6 million at the end of '23. Thus, the total enterprise equity excluding the non-convertible non-controlling interest was $78.8 million, as of December 31, '24, a $3.4 million decrease from the prior year. At quarter end, consolidated corporate indebtedness was carried at $34.9 million. As Lester mentioned, we have declared a quarterly dividend of $0.25 per share payable on April 9th to stockholders of record as of March 26th. The Board of Directors will continue to evaluate the dividend policy each quarter and future decisions regarding dividends will be impacted by quarterly operating results and our capital needs. With that, I'll turn it back over to Lester for closing remarks.
Lester Brafman: Thanks, Joe. Please direct any offline investor questions to Joe Pooler at (215) 701-8952 or via e-mail at investorrelations@cohenandcompany.com. The contact information can also be found at the bottom of our earnings release. Operator, you can now open the call lines for questions, and thank everyone, who are joining us in our call today.
Operator:
Lester Brafman: No, that's it. I hope to see everybody in our next quarterly call. Thank you very much.
Operator: Thank you. This will conclude today's conference. You may disconnect at this time, and thank you for your participation.
Lester Brafman: Okay.